Operator: Greetings and welcome to the Quotient Limited First Quarter Fiscal Year 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host Mr. Ali Kiboro, Chief Financial Officer of Quotient Limited. Please, go ahead, sir.
Ali Kiboro: Thank you. Good morning, everybody, and welcome to Quotient's first quarter fiscal year 2023 financial results, as well as the business update. Joining me today is Manuel O. Mendez, our Chief Executive Officer. Today's conference call is broadcast live through an audio webcast and a replay of the conference call will be available later today at www.quotientbd.com. During this call Quotient will be making forward-looking statements, including guidance and projections as to future operating results and expected development and commercialization time lines. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in Quotient's filings with the US Securities and Exchange Commission, as well as in this morning's release. The forward-looking statements, including guidance and projections provided during this call, are valid only as of today's date, August 9, 2022 and Quotient assumes no obligation to publicly update these forward-looking statements. With that, I would like to turn the call over to Quotient's Chief Executive Officer, Manuel O. Mendez. 
Manuel Mendez: Thanks, Ali, and good morning, everyone. Thank you for joining us today for the first quarter fiscal 2023 results and business update. During today's call, I will provide an update on the progress we have made in the months since we had our last earnings call and our key priorities to fiscal 2023. As many of you will know, earlier this year we received CE Mark for our extended Immunohematology microarray. Since then we have made progress on maximizing the commercial potential for this product, by growing our distribution network, participating in tenders and increasing awareness of the MosaiQ solution. We are simultaneously focused on leveraging the potential of our MosaiQ platform with new microarrays. The ones closest to commercialization are extended Serological Disease Screening microarray, autoimmune microarray and the extended immunohematology US microarray. I am pleased to report we remain on track with our development work and regulatory filings for all three microarrays. Also, we have been exploring ways to lower our R&D costs to bring new products to market and decrease the time to commercialization. Pursuant to this initiative, we recently announced new strategic alliances with InfYnity Biomarkers and Theradiag. We believe these alliances will enhance our development of infectious disease screening and clinical diagnostic products. In addition, we have made advancements in our scientific and medical affairs activities with the expansion of our Innovator's Circle, completion of workflow studies and development of white papers. Overall, I am pleased with the execution of our key priorities since our last call just over a month ago and I look forward to our continued progress in fiscal 2023. Let's begin with a review of MosaiQ's commercial execution. In the first quarter of fiscal 2023, we secured $1.4 million in bookings and generated $0.4 million in revenue for our recently CE Marked extended immunohematology MosaiQ solution. The commercial team continues to focus on expanding our global distribution footprint across major geographies. We have signed 10 distributor agreements and last month we hosted our first annual distributor network meeting. The meeting was held at our headquarters in Switzerland with 12 participants from over 10 different countries who shared best practices and clinical use cases for MosaiQ. Participants were enthusiastic. One of the participants, Tereza Marsic from Croatia told us, she is impressed with the MosaiQ system's ease of use and she is excited for her customers to experience the MosaiQ solution. I'd like to thank Tereza and all other participants. We look forward to our continued collaboration. Turning to our European immunohematology donor tender opportunities. We continue to actively participate in and prepare for the 20 European immunohematology tenders expected over the next 18 months. Turning to our transfusion diagnostics pipeline. The extended immunohematology US microarray, is on track for FDA submission by year end. We continue to make progress in the development of the extended Serological Disease Screening microarray panel. We are on track, for an expected commercial launch in calendar year 2023. Our recently announced partnership with InfYnity Biomarkers, serves as an opportunity to enrich the MosaiQ SDS and infectious disease clinical immunoassay menu and reduce time and cost to commercialization. InfYnity Biomarkers, has proven expertise in infectious disease diagnostics and we are excited about this collaboration, as it expands our innovation network allowing us to further accelerate our development time line. We're also pleased with the early benefits we are seeing from the Theradiag clinical diagnostics partnership. The collaboration team has confirmed technical feasibility of the Extractable Nuclear Antigen Antibodies ENA on the MosaiQ microarray. We are confident to make continued progress, in our development eventual commercialization of the connected tissue diseases panel, which will include the ENA and Anti-Nuclear Antibodies ANA. This panel will provide us with access to part of the $1.8 billion, autoimmune market and entry into the clinical diagnostics segment. Like the InfYnity collaboration, this partnership allows us to accelerate our time to commercialization and reduce cost of development. Next, I would like to update you on the scientific and medical affairs activities. We are very pleased to add three members, during the quarter on the MosaiQ Innovator's Circle initiative. We now have a total of 11 members, most recently the Centro de Hemoterapia y HemodonaciÃ³n de Castilla y LeÃ³n in Spain, joined this initiative. As a reminder, the goal of the Innovator's Circle is to create a community of experts and institutions across the world, who focus on transfusion medicine and clinical diagnostics. Member partners with Quotient, to create innovation and evidence generation to improve patient care and laboratory efficiencies. Lastly, we are pleased to announce, we have completed flow analysis at multiple sites. These analyses include current and future time and motion studies, which we expect will underline the efficiency and effectiveness of the MosaiQ solution. We expect to submit papers for publication later this year. We are continuing to build an experienced and collaborative executive management team Steven Zuiderwijk, joined Quotient on July 1st, in the role of Chief Strategy and Business Development Officer. Prior to joining our company, Steven served as Vice President of Philips, leading Global Strategy and Business Development and Execution in the precision diagnostic business. Prior to Philips, Steven led teams across Europe, Middle East at Boston Consulting Group BCG, to develop corporate and commercial strategies for leading financial institutions and executed several post-merger integrations and turnarounds. Steven brings great experience and energy to help our team drive business growth, portfolio expansion, market access and broaden global strategic partnerships. Welcome, Steven. Finally on the operations front, we were awarded ISO 14001 certification, reflecting we meet requirements for environmental management system. This certification exists to help organizations, minimize our operations negatively affect the environment. To qualify, Quotient went through a series of external audits validating, the MosaiQ microarray manufacturing facility. Now, let me turn the call to Ali, for more details on our financial results. Ali? 
Ali Kiboro: Thank you, Manuel. Fiscal first quarter sales were $8.8 million, a decrease of 3.3% from last year's first quarter. The Alba reagent business generated product sales of $8.4 million in the first quarter of fiscal year 2023, down by 6% year-over-year. Sales in the quarter decreased mainly due to a change in the ordering cycle of one of our products from an OEM customer. We expect the ordering pattern to normalize by year end. This customer's ordering pattern for other products has not changed, so we believe this is isolated to a single product. In the quarter, as Manuel discussed, we had our first sales for MosaiQ post our immunohematology CE Mark approval. Sales of MosaiQ products increased by $0.3 million, for the quarter ended June 30, 2022. In the first quarter gross margins and product sales were 31% compared to gross margins of 47% reported in the first quarter of the prior year. The decrease in gross margins was primarily driven by lower sales in the quarter, $0.4 million in write-offs for stock at the end of its shelf life, $0.2 million of write-downs of raw materials and in-process inventory associated with MosaiQ to net realizable value and $0.3 million in increased costs for logistics -- production costs. The increased costs we see in UPS logistics costs and production costs including utilities is roughly a 3% to 4% headwind on gross margins. Adjusting for the write-offs, our gross margins would have been between 37% and 41% for the quarter. In the first quarter, we recorded an operating loss of $25.8 million compared to $21.9 million last year.  Operating expenses were $28.5 million in the first quarter fiscal 2023, an increase of $2.3 million or 9% compared to the first quarter of the prior fiscal year. This increase is driven primarily by an increase of $0.9 million in general and administrative expenses to $11 million in the first quarter. The increase is primarily attributable to legal costs incurred in the senior secured debt modification, first quarter of fiscal year 2023.  Sales and marketing expenses were $3.3 million in the first quarter, representing a $0.8 million increase compared to the prior year's first quarter. The increase was primarily driven by the increase in sales and marketing activities over the past year as we ramped up for the planned commercial launch of MosaiQ. Research and development costs were $14.1 million a $0.6 million increase year-over-year. The increase in research and development costs is driven by expenses to support upcoming field trials and product development in transfusion and clinical diagnostics. Net other expenses was $12.9 million in the current quarter compared to $4.7 million in the first quarter of last year. The change year-over-year is due to a combination of items including interest on the convertible notes issued in May 2021, an additional $1 million impairment on the Credit Suisse supply chain fund, a benefit in the royalty cost estimate in Q1 of last year and a gain in the fair value of our derivative liabilities this quarter. This was offset by an FX loss of assets and liabilities, denominated in foreign currencies in the same period. Net loss for the first quarter was $38.9 million or $0.37 per share compared to $27.3 million or $0.27 per share in the prior year. Net cash used in operating activities totaled $35.5 million for the first quarter compared with $32.1 million for the prior fiscal year.  As you may recall, operating cash in the first quarter is higher than other quarters due to annual or semiannual items paid out in Q1. Of the $35.5 million of operating cash $10.5 million pertains to interest on our outstanding debt. Of the remaining $25 million, a little over $7 million pertains to our fiscal 2022 employee annual incentive plan and our annual insurance renewal premiums.  Normalizing for these annual costs, our underlying operating cash flow was $6.5 million per month during the quarter. We continue to remain vigilant and actively engaged on all aspects of spend headcount for the company.  Moving to the balance sheet. Available cash, cash equivalents and investments as of June 30, 2022 was $63.2 million compared to $83.2 million as of March 31, 2022. Of the $63.2 million in cash and investments $17.1 million relates to investments held in Credit Suisse supply chain funds. In the first quarter we determined a further impairment of $1 million was required related to an updated estimate of litigation costs projected by Credit Suisse which Credit Suisse communicated will be deducted from future investor recoveries.  Our total debt as of June 30, 2022 was $236.3 million. This morning, we are confirming our fiscal year 2023 guidance. We expect total sales in the current fiscal year will be in the range of $39 million to $42 million. We expect capital expenditures for fiscal year 2023 to be in the range of $5 million to $10 million. Finally, we expect cash used for operations for fiscal year 2023 will be in the range of $6.5 million to $7.5 million per month excluding debt service costs and capital expenditures. And with that, let me now turn the call back to Manuel. 
Manuel Mendez: Thank you, Ali. I am pleased with the progress we are making on our key priorities for fiscal 2023. We have further validated our strategic vision and are steadily growing our distributor network and increasing awareness of our MosaiQ solution through our commercial activities. We're in active conversations to expand the number of distributor partners globally. Our new distributors are broadening our installed base into new geographical territories and we are poised to ramp up production in the coming quarters. Turning to our European immunohematology donor tender opportunities. We continue to actively participate in the 20 European immunohematology tenders expected in the next 18 months. When final decisions are made, we look forward to communicating successful tender outcomes. Our transfusion diagnostics pipeline continues to progress, as we focus on submitting the extended immunohematology microarray for US approval by year end and bringing the extended SDS microarray panel to an EU commercial launch in calendar year 2023. Next our scientific and medical affairs team will be presenting performance data on CE Mark MosaiQ immunohematology donor Extended microarray at the annual AABB meeting in October of this year. Regarding clinical diagnostics, we are energized by our successful collaboration with our innovative partners Theradiag to accelerate our time to market and reduce cost of our MosaiQ platform. We will be communicating other collaboration agreements and partnerships to further strengthen our R&D pipeline. Finally, I would like to thank our global teams for their contribution this past quarter. Our whole team is laser-focused on delivering on our commitments to all stakeholders and to empower our customers to meet their needs. Thank you for your time today and we look forward now to taking your questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session.  Thank you. Our first question comes from the line of Josh Jennings from Cowen. Please proceed with your question.
Josh Jennings: Hi. Good morning, gentlemen and thank you for taking the questions. I wanted to start with just the -- it was great to hear that you're on track to submit in the US with the FDA by the end of the year. And just wanted to better understand where your team is on the development process just in terms of expanding the number of specificities that you send improving the performance of some specificities. I mean, I think, you gave some color on the earnings call in June around that progress. But is there more work to be done, or is that were completed and you're moving right into US field trials in the coming months? 
Manuel Mendez: Thanks, Josh and good to hear from you. Thanks for the question. So look I'm happy to say that we made that the development process is completed. We actually have completed also our verification validation and clinical drive protocols with the pre-FDA. So in conversation with the FDA the sites are up and live and going. Currently, our teams are working with the IQs, OQs which is a qualification process as we start the clinical trial. So, yes, we're in very good shape and we're excited with the progress we're making to then perform -- submission as we have communicated previously by year end. So it's a very exciting time for us. 
Josh Jennings: Okay. And anything you can share Manuel on just in terms of the increased performance on some specificitiesâ¦
Manuel Mendez: Yeah. 
Josh Jennings: â¦where the build-out of the menu that is going to be evaluated in the US field trials? 
Manuel Mendez: Yes. So we will have additional specificities beyond the ones that we had in our current CE Mark product, which as I had communicated previously we'll be bringing some of that data back and then gaining some additional approvals that we would expect with the data and the performance back into the EU. But what I'm happy to say is that we've completed the three different lots which are required as we enter clinical trials and the performance is incredible. I mean 100% or better in most of the specificities including the ones we've added for the US market which will later on bring back to the EU market. I mean then certainly we can share that in the later time one-on-one if you like. And then the other thing that is also exciting for us is the fact that again the sites are ready teams are ready and everything points to a very successful completion of the clinical trials and then a good solid submission to the FDA. I think the key for us was to get this pre-FDA meeting pre-submission completed which we did with the FDA and they have agreed and confirmed all the verification and validation and clinical trial protocols. That's a really good outcome for us going forward. So, we expect again expedite approval as part of that process and excited about that. 
Josh Jennings: Excellent. And just one last follow-up on you guys have had some success with partnerships with Theradiag and InfYnity. I was wondering if you could share just any other partnership channels that they could potentially lead to some non-dilutive capital contribution to the balance sheet and whether there are any active discussions on that front? Thanks for taking the question. Appreciate it.
Manuel Mendez: Yes. So, I think the -- that's -- thanks for the question. So, regarding the partnerships I think the Theradiag and the other partnerships that we've communicated are really working -- and InfYnity, it's working towards the faster development it's really about saving R&D costs because we save time and then commercialization much more quickly. In terms of aspects of strategic collaborations that we're evaluating to be able then to either gain capabilities or access in terms of other specific markets or some type of collaborations like the one we have communicated in the past with Ortho, that's ongoing. We have some great conversations as we speak and we will continue to explore those in the next weeks and months to come. So, as soon as we have these other collaborations agreements in place, whether it's on R&D capabilities or other type of relationships on our collaborations or partnerships around markets or investments, then we'll be communicating those in the next weeks and months to come. 
Josh Jennings: Thanks again.
Manuel Mendez: Thank you.
Operator: Thank you. Our next question comes from the line of Brandon Couillard with Jefferies. Please proceed with your question.
Brandon Couillard: Hey thanks. Good morning. Just a question on the distributor channels and you've got kind of 10 partners so far. Do you still expect to reach 20 by the end of the year? And I'm curious kind of what happens next? Are you stocking with initial inventory? And I'd be curious to hear kind of how many systems you're getting inbound from Stratec per month or per quarter just kind of what those levels look like?
Manuel Mendez: Yes, thanks Brandon. Good to hear from you. So, the distribution conversations are going extremely well. I think we've communicated to you guys that our target is 20. We already have 10 and I think with the success that we've shown in our ability to execute against this milestone and this strategic goal, I think we're going to probably exceed that. And our goal is to be able to achieve that in -- not by year end, but much quicker than that. In terms of what that means in terms of -- to us for revenue opportunities, there are some minimum commitments on these distributor relationships that we expect to have not necessarily to stock but to go into market into customer accounts. So, that's ongoing. So, then we can then start putting up some conversions of customers that's going to be determined again from a timing standpoint. There will be some level of evaluations that occurs in some of these customer accounts. And we're working through those. That's sort of tied also with the Innovator's Circle. As you saw in our press release and in my remarks that we've been able to successfully enlist additional folks. Two of them that are really high-hitters in Europe, Centro de Hemoterapia y HemodonaciÃ³n de Castilla y LeÃ³n in Spain and also the transfusion center the Croix-Rouge suisse which is basically the Swiss Red Cross, main site in Bern who has also signed up for our Innovator's Circle, Dr. Christoph Niederhauser, who actually, as a matter of fact he's joined also a Scientific Advisory Board. So I think all these things in place, whether it's the distributor activities and the Innovator's Circle activities, the evaluations that some of these distributor sites that are going to be, then creating this momentum we believe to meet the expectations we have for the second half of the year.
Brandon Couillard: Okay. And then just one question for Ali, on the gross margin line, you've had a few quarters here where you've had some small inventory write-offs. Should we expect those to continue to sort of trickle in on the cost line? And then, I think you mentioned logistics and production costs, maybe 200 or 300 basis point headwind. Should we expect that to pick up into be it larger from here, or is it in the run rate? Thanks.
Ali Kiboro: Thanks. So, yeah, a couple of things, that you've seen going through the gross margin line. Part of the change, as you can imagine is because as we said, we are starting to get closer to the launch of -- actually we have launched already our IH. And so part of what you're seeing going through that gross margin line over the last three quarters has been the net realizable value which we've been booking to that line. That's been the big one going through there. What we thought would be important to understand as well is where we see write-offs like we did this quarter for red blood cells and other items that are one-time in nature, we're calling those out. And then, on the last one which is really the cost items. Those for us I think we quantified them in my earlier comments. We think that's maybe a 3% to 4% headwind that we're seeing. And part of what we're seeing there is on the logistics side. And we're also seeing increases in costs on things like utilities and some of the inputs that we're buying. We expect that in the near-term, that 3% to 4% to continue, but we just thought it was important to call out those components. The net realizable value one will continue as we commercialize on MosaiQ. And as we've said previously, that really as we start to get to scale and as that picks up that number will change over time. But in the near-term, I'd expect that net realizable value that we've been writing down our work in process inventory will continue and some of this headwind of 3% to 4% at least in the near-term we expect that to continue as well.
Brandon Couillard: Got you. Thank you.
Ali Kiboro: You're welcome.
Operator: Thank you.  Our next question comes from the line of Matt Sykes with Goldman Sachs. Please proceed with your question.
Matt Sykes: Hi good morning Manuel and Ali. Thanks for taking my questions. Maybe just kind of start off along the, lines of Brandon's question on distribution agreements.
Ali Kiboro: Yeah.
Matt Sykes: â¦ targeting 20 by the end of this year. In terms of how you think about managing those relationships obviously more agreements could potentially lead to more sales. But how do you plan to actively manage those distribution agreements overtime meaning, optimize those that might have particular success and particular regions? Or are you kind of spread out regionally so that you have few distribution agreements per region? I'm just wondering, how you're thinking about managing those relationships given it'll be close to 20 by the end of the year? And how you look to optimize that overtime?
Manuel Mendez: Yeah. Thanks about your questions. So look, what we have is Mohammad El Khoury, our Chief Commercial Officer he set up a nice network of internal folks. So we now have somebody who is leading the Middle East Africa, somebody who is leading Asia-Pacific, person who's going to be leading Latin America. And it's not just one person that's going to manage distribution, but it's also going to start setting up like service and support along with the distributors that we select. The way we thought through distribution is there is an agreement that in order for that exclusive rise that they're going to have for that geography, there is a commitment that is then initial start-up order and then commitments throughout the different years. Now, we're going to work on, of course, the demand. We know the market sizes, the donations per geography and then what it should deliver. And we know when those contracts that are related more to donations and donor centers. So we have good visibility on that with the distributors. So, we're putting incentives in place to be able then to achieve those target opportunities in the short-term and then others as we develop and ramp up then it will be appropriately incentivized and resourced. So that's sort of the way we're looking at it. Of course, there are some sales commitments attached to that, like I said. And we expect those to sort of ramp up as some of these evaluations that I mentioned before, are completed as we then have all these further proof sources from the Innovator's Circle. I mentioned in my remarks and then also in our press release earlier today that we've completed some workflow studies, which we're very excited about, because these workflow studies not only are going to be able to show the value of the MosaiQ being in at site. So we actually -- one of these sites that we just -- that is in our Innovator's Circle, two of those sites actually did a workflow study, one in Europe, one in the US. The initial data shows us that we have some significant benefit from a technical perspective from -- with our MosaiQ solution, so -- as we compare against their current user scenario. So, I think again this is more on the development of what we see. We're going to be publishing some papers, whether it's white papers or official publications as we finalize that data. But the indication is the initial data is that MosaiQ is going to be significantly more valuable as we look at efficiency effectiveness in those sites. So, all this together again, speaks to the distributor network, the distributor growth strategy and then of course, the strategy is going to allow us also to win as we continue to participate in tenders.
Matt Sykes: Great. Thanks very much, Manuel, and Ali maybe one for you. You outlined sort of your OpEx trends for the balance of the year, and apologies if I missed it. Just CapEx came in a little bit lower than what we thought and lower than the previous fiscal first quarter of last year. Could you just maybe talk about sort of CapEx trends? I assume given the ramp of MosaiQ that you've done, perhaps that could come down versus historical. I just wanted to get a sense for how CapEx is trending over the course of this year.
Ali Kiboro: So the guidance we've given, Matt, really builds around what we are doing in terms of investments that we've talked about from everything to the second manufacturing line to other improvements that we've talked through doing. So, that's how we've thought about it as we've been prudent here in the near-term, you can see we're not spending it right now. But it is in our outlook or as things that we will consider through the balance of the year. So that's how I would think about the CapEx. It's probably going to be later in the year than upfront here is how I would size it, Matt.
Manuel Mendez: But even so, I would say that it's probably more towards the low-end and the high-end of what we've guided given where we are today. And what we are with the way we see going forward.
Matt Sykes: Got it. Thanks very much. Appreciate the questions.
Manuel Mendez: Yeah. Thank you, guys.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the floor back to management for any final comments.
A - Manuel Mendez: Well, I just want to say thanks again for your support and listening for the questions, and we look forward to updating you guys against our goals in the next quarter. So have a nice day. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.